Operator: Please standby, your meeting is about to begin. Good morning, ladies and gentlemen, and welcome to the Precision Drilling Trust’s 2009 fourth quarter and year end conference call and webcast. I would now like to turn the meeting over to David Wehlmann, Executive Vice President, Investor Relations. Please go ahead.
David Wehlmann: Thank you. Good morning, everyone. I would also like to welcome you Precision Drilling Trust’s fourth quarter 2009 conference call and webcast. Participating today on the call with me are Kevin Neveu, the Chief Executive Officer and Doug Strong, our Chief Financial Officer. Also with us here today is Gene Stahl, our President of Drilling Operations. The new release earlier today, Precision Drilling Trust’s reported on the fourth quarter 2009 results. Please note that the financial figures are in Canadian dollars unless otherwise indicated. Precision also announced this morning in a separate news release; its intention to convert to a corporation Precision anticipates seeking approval from the unit holders in conjunction with its 2010 annual and special meeting in May and to complete the conversion by May 31, 2010. We believe the conversion will occur on the tax differed basis. Further to tell about the timing in mechanics the conversion will be communicated over the next two months. Some of that comments today we’ll referred to non-GAAP measures such EBITDA and operating earnings. Please see our press release for additional disclosure on these non-GAAP measures. Our comments today will also include forward-looking information and statements reflecting Precision views about advanced and a potential impact on the Trust business, operations, structure, and financial result. Forward-looking information and statements include but are not limited to items that we have detailed in our press release. There are risks and uncertainties that could cause actual results to differ materially from those indicated by such forward-looking information and statements. Please see our press releases and other regulatory filings from more information on these risks factors. Doug Strong will begin the call this morning with the review of the fourth quarter financial results and our yearend balance sheet. Kevin Neveu will then provide an operation updates and our outlook for going forward here. After that we’ll open the call for questions. Doug over to you.
Doug Strong: Thanks David. For Precision the fourth quarter of 2009 was positive on many fronts and in financial terms when according to plan. Our financial overview focus is on four key developments The sequential quarterly improvement in operating results, balance sheet strength and liquidity, 2009 cash flow and our pending unitholder vote to convert on the income trust to traditional corporate structure. First, the sequential improvement in Q4 2009 operating results. As reported in our news release earlier today, unaudited current quarter revenue and EBITDA preferably to the third quarter of 2009 as industry fundamentals continue to gradual rebound from those experienced earlier in the year. Our current quarter business mix while continuing to be supported by solid customer demand from oil wells reflected higher demand for natural gas both Canada and United States. Precision benefited from rising equipment activity in the fourth quarter unfolded and this led to stabilization in customer pricing. In the moment Kevin will comment further on customer demand and tightening supply for high performance asset and opportunities that lie ahead for 2010. Fourth quarter activity was higher than the third quarter of 2009 was Precision average and active drilling rig count 72 in Canada, an increase of 21 rigs and 41%. In the United States the active count average 64 rigs and increase of 22% over Q3. Precision service rig fleet in Canada generated 60,108 hours, an increase of 10,527 hours or 21% over Q3 2009. Overall, this droved the 13% revenue increase and 8% increase for Precision in the current quarter. Profit margin as an EBITDA percentage of revenue with solid as the decline of 1.4 percentage or 140 basis points to 32.4% was primarily caused by revenue mix as strong term contract rig comprised 48% of drilling utilization days versus 61% in Q3 2009. Traditional winterization revenue from northern operating areas and cost reduction initiatives help to mitigate the decline. General and administrative expenses were $24 million in the fourth quarter, the favorable sequential decrease of 4% over the third quarter. In the current quarter, Precision recorded a pretax non-cash charge of $82 million for the decommissioning of assets as previously announced on December 16, 2009. The decision to take underperforming asset other services and necessary step to reduce equipment supply and high grade precision's overall fleet to inline with its high performance, high value brand and the more demanding customer requirement associated with unconventional resource plays. The reduction in capacity is expected to be accretive to earnings through lower fixed operating cost and the use of corrected spare components from the decommissioning rigs. Second on the agenda, today is the balance sheet. Liquidity and debt reduction remained high priorities. During the fourth quarter Precision made $81 million US in voluntary early payments against secured term debt and in the process to further step to improve its credit quality by lowering its long debt to long term debt plus equity ratio. The ratio as at December 31, 2009 is 0.22 and represents significant de-leveraging compared to the ratio of 0.37 on December 31, 2008. During 2009, precision made $555 million in cash repayments and benefited from favorable Canadian US dollar exchange rates on the translation of US dollar to nominated debt. As at year end Precision long-term debt of $749 million as compared to $1.37 billion at December 31st, 2008, a reduction of 45%. Fourth quarter debt prepayment also reduced schedule of long-term payments for 2010 to nominal amount. This provides added financial flexibility to liquidity position of about 400 million on December 31st, 2009. At year end Precision carried a cash balance of 131 million and undrawn operating line is 25 million and US233 million available in the secured facility revolver. Third on the agenda of 2009 cash flow, annual cash flow for 2009 in line with our stated corporate strategy to reduce debt and integrate Grey Wolf and execute the 2009 business plan. In summary, Precision generated 505 million in cash flow from operations due to positive inflows in both operations and changes to non-cash working capital balances. These cash inflows were used to fund the completion of Precision’s 2008 new rig build program to significantly reduce sustaining net capital expenditure program, while the remaining cash together with net proceeds from equity offering during the first half of 2009 were used to reduce long-term debt, meet remaining cash distribution obligations prior to the investment expansion and increase cash on the balance sheet by 69 million. Capital expenditure were limited to 193 million with 163 million on non-expansionary customer commitments for new rig and equipment. The $30 million for required infrastructure spending to integrate United States drilling operations and make necessary upgrades to existing rigs and equipment. During the second half of 2009 cancelled projects and favorable variances estimates lead to sizable reduction in capital expenditures from our previous guidance of 210 million. Those capital expenditure projects were considered new and our capital expansion guidance for 2010 remains at 75 million. Past year was fairly challenging. Sudden decline in first half customer demand was met by Precision and solid EBITDA margins performance that demonstrated Precision’s variable cost operating structure, ability to reduce sustaining our pre-capital expenditures to match equipment realization levels and our rig manufacturing teams’ capability to complete 2008 committed new rig build program on time and on budget pursuant to high marketing term customer contracts. For United States operations, integration success associated with the variable type position is characterized by improved safety performance, high employee retention, standardized systems and controls, a global orientation for ongoing operations, and the strength in rig positions in those basins throughout North American in start of 2010. Access to a large customer base has strengthened Precision’s positioning in both the United States and Canada. To close I would like to draw attention to our separate announcement earlier today addressing Precision’s growing trust intent subject to unitholder vote to convert to a traditional corporate structure. As dated in December 16, 2009 news release Precision expects to convert to a corporate structure well ahead as the Government of Canada’s legislative income tax measure is scheduled for January 1, 2011. Over the past few years, Precision has established a significance presence in the United States land contract drilling market, and in so doing has demonstrated the growth strategy that is leveraged towards new exciting unconventional resource for exploration and development opportunities. The clarity and administrative simplification of a traditional corporate structure is expected to reduce administrative cost and make capital markets more accessible, especially debt and equity market outside of Canada. Kevin, that concludes our financial overview.
Kevin Neveu: Thanks, Doug. Well certainly, I am pleased we ticked off the formal process of converting Precision out of the trust to a growth oriented corporation. This transition facilitates fully aligning our corporate structure with our well communicated high performance, high value strategy, and I will comment a little more in that later. With regards to our fourth quarter, is how we see things shaping up in 2010, when we step on reporting our activity in Canada is currently of 130 to 140 rig range. When we look projected our Q1 back in December, we were thinking of Precision’s rig count would peak 110 rigs. United States, where Precision is currently going 78 rigs, our projections for late 2009 had us around 70 rigs for January. So the good news is that we underestimated our customers’ desire to get back to the drill bit as the commodity prices recovered from the lows of mid 2009. We believe that Precision’s current position as the busiest driller in North America, due to our geographic footprint, our asset mix and especially the quality of our people. Currently virtually all of our Tier I rigs are utilized, our Tier III are 60% utilized, and our Tier III rigs like most of the industry are lagging with utilization under 20%. However, encouragingly we are working with our customers and opportunities to upgrade some of our deeper Tier III rigs to Tier II level, and some of our Tier II rigs are up to Tier I capability. All of these specifically for unconditional drilling opportunities. We expect that the 15 Tier upgrades we announced in our December press release will be fully utilized by our customers, and it’s likely that this number would increase if customer demand continues at the pace we've seen so far this year. I will also point out that while our 2010 capital plan excludes any provision for new builds, we are in the final stages of negotiations with several customers for new build Tier I rigs on favorable economic terms. As we pursue these opportunities, and while debt repayment remains a priority, I’ll highlight that Precision has a financial strength and flexibility to be aggressive and capture additional customer demand for new builds or upgrades on our current fleet. From a regional perspective, during the fourth quarter, we strengthened our positions in the Montney gas play and the rapidly developing Cardium oil play as we’re continuing our strong presence in heavy oil drilling in Canada. Two of the three super singles that we redeployed in Canada from the United States in late 2009 are specifically for heavy oil applications. We are right in the Saskatchewan Bakken and the Horn River. We expect to see our Horn River position improve as we complete our rig update later this year. In the United States, our Bakken position has increased from two rigs early last year to 10 in the fourth quarter, soon to be 14 rigs. The North Dakota Bakken is a deeper trend in Saskatchewan and generally requires larger rigs, which alliance nicely with our US fleet. Our positions in the Barnett and Marcellus remains strong, and we’d like to have geographic presence as even for play develops. Our Alice, Texas operation center has recently taken on three Tier I rigs to support this play. Our Haynesville and central Rocky positions could be strengthened, we were increasing our focus on these regions in 2010. The regional spot market has generally started to move up bottom during the fourth quarter. Geography and rig tier have a larger impact on rate leverage. Day rate improvements for Tier I rig class are as much as $3,000 per day in some markets and even our Tier III rigs are getting modest improvements on sequential wells. Certainly we see light in the tunnel for day rates for the first time in several quarters. Now, much of what I described sounds encouraging. It's important to understand that if this really is a recovery, at best I would call it fragile and fraught with risk. Last year we saw how dramatically this business can reverse direction, I mean what are several factors such as gas storage, commodity prices, further global economic concerns could easily impact this recovery. We remain mindful of this risk and continue to tightly manage our expense and capital spending in 2010 as we did through all of 2009. As we report commodity prices and to a extent produce our hedging success ultimately drives our business, and it's been for the low prices in the $65 to $75 range appear to be very helpful. Natural gas prices steady in the 5 to 6.50 range are constructive, particularly when the commodities futures contracts allow our customers to hedge and protect their cash flows. Looking at the gas macro, I think some were surprised that how quickly US gas storage crossed the historic record of 3.837 tcf in November to slightly below the five-year average by mid-January, and today's reported gas of 191 bcf is encouraging. However, the apparently sticky US natural gas domestic production data as published by the EIA are not yet showing significant production declines. Before Precision has any real confidence in the second half of the year for the GAAP perspective, we'll have to see how these gas production and storage trends play out. Over the last decade gas activity has been the prime driver for our business. The shift to conventional drilling techniques to unconventional drilling techniques and strengthened oil prices in 2009 have restored oil’s importance to our business. Oil drilling activity in both the US and Canada is robust. And as the price stability continues in the $65 to $75 range, there is potential for increased activity as unconventional joint techniques gain wider acceptance even for older conventional fuels. The Cardium play in Alberta is a very good example of the growth of horizontal drilling techniques to older conventional fields to exploit further production capabilities from those fields. Now we are in the very early stages of understanding the potential of the Cardium play, but so far the results are encouraging and the extravagant drilling activity is a good biz for Precision. Just to add, changing gears now to Precision’s production and completion of business. As Doug mentioned earlier, we are sequentially up 21% in the third quarter. While this improvement in activity is welcomed, the rig rates did not show much pricing response in the fourth quarter. Much of this activity increases is in the conventional oil and heavy oil markets, which tend to be less complex than the more profitable gas completions business we enjoyed most of last decade. We did believe that the momentum in the well service market continues to 2010, pricing leverage will improve. This year Alberta government is effective with respect to redraft of the provincial royalties and in fact stimulates the Albert gas joint business. We could see some very good leverage on our completions productions business, not to mention our drilling operations. Turning back to our conversion process for a moment, for Precision as the most active North American drilling contractor and with international aspirations, there is no question that our conventional corporate structure provides us better access to capital and expanded the investor base, and ultimately better value for investors. We are anxious to complete this important step in the global transformation for Precision. Now I’d like to thank the employees of Precision for their hard work, persistence and the results they achieved during a very difficult year for all of us. This performance is best exemplified by the fact that 86% of Precision’s rigs, service rigs and operations operated in the full year of 2009 and not a single recordable safety incident. Congratulations to our employees and thank you all for your contributions. On that note, I will pass this back to Lucy for questions.
Operator: We will now take questions from the telephone line. (Operator instructions) The first question is from John Daniel from Simmons & Company. Please go ahead.
John Daniel – Simmons & Company International: Hi, Kevin. Just a couple of quick questions for you. The first one on, just a little bit more color on the Tier III rigs, if you will, in terms of commentary on pricing, and recognizing the utilization is lower at this point relative to the premium rigs, are there any opportunities any of the basins to lock those rigs up, the lower call rigs up under to perhaps six months or one year arrangements?
Kevin Neveu: Hi, good morning, John. There are some emerging opportunities. Right now your customers are trying to lock in some pretty favorable day rates on those rigs. Couple of contracts out there that we have achieved in a one year contracts that we’ll go through in our contract charts we put those out there. But I think frankly, probably the better opportunities are really Tier III rigs, and upgrading some of those Tier III rigs for initial drawing.
John Daniel – Simmons & Company International: Okay. Are you seeing any of your competition on the sort of the legacy rigs, are deals being marketed at this point?
Kevin Neveu: Yes, there is still some really competitive geographies right now. I just don’t – there is something I just right now I think restore a real service oversupply. Now other areas geographically speaking where Tier III rigs are picking up a little bit of the partner interaction. So it's – it really depends where in the market you are looking.
John Daniel – Simmons & Company International: Okay. And then just one if I may, on to the wealth service business, down here in the states we’re seeing a few companies fair one get liquidated, primarily the small mom and pops. What you are seeing up in Canada?
Doug Strong: I think couple of things, I think there might be a little less leverage on the upper this year in Canada. And I think they are used to running through sharp cycles. So we haven't seen quite as much of the distressed asset possibilities in Canada as we might see in the US.
John Daniel – Simmons & Company International:
 :
Doug Strong: Thanks, John.
Operator: Thank you. The next question is from Victor Marchon from RBC Capital Markets. Please go ahead.
Victor Marchon – RBC Capital Markets: Thanks. Good morning everyone.
Doug Strong: Good morning, Victor.
Victor Marchon – RBC Capital Markets:
 :
Doug Strong: Victor, its Doug. We stick to our economic fundamentals throughout the cycle. So, we are looking for terms that are two to four years, and we are looking for paybacks on the original capital, frankly before tax with interest within the four year period.
Victor Marchon – RBC Capital Markets: And from a geographic standpoint, are there opportunities both in the US and Canada or is it mostly just in the US?
Doug Strong: Actually Victor it’s both US and Canada, and I think I use the term several customers, it's about an even split rate now. No question its Tier I type rigs, and David Wehlmann and I have a little bit of that point but when the first contract gets launched for a new build, likely the first will be in Canada but it's not material whether its Canada or the US, frankly it's within – the economics are very close, within a thousand or two a day or within around a year on contract term for one of these turns for us.
Victor Marchon – RBC Capital Markets:
 :
Kevin Neveu:
 :
Victor Marchon - RBC Capital Markets: And I'm sorry if you said this, but did you have any commitments to do that right now from Tier II to Tier I ?
Doug Strong: We have 15 in the plan for 2010. Some of those are in process right now, and they will be reflected. If there is customer contracts signed to those they’d be reflected in our contract to all those, we will provide that information.
Victor Marchon - RBC Capital Markets: Okay, got you. Great.
Doug Strong: Remind you is, all those upgrades will be taken up and likely will be, provided the markets stays away where we see it today, likely will be adding more beyond that.
Victor Marchon - RBC Capital Markets: Great, that’s all I had. Thank you, guys.
Operator: Thank you. The next question is from John Tasdemir from Canaccord Adams. Please go ahead.
John Tasdemir - Canaccord Adams: Hi, good morning guys. John, question on your CapEx, I mean, you’re obviously being very prudent and conservative on your capital spending plans for 2010 at 75 million. That hasn’t changed but you said, it sounded to me like it’s more of just waiting on contracts rather than maybe specifically focusing on at debt pay down or something else it's just, did I get that right or?
David Wehlmann: John, this is David. We're going to be opportunistic in 2010 as far as seizing what the market gives to us and what we can take from it. And so there will be opportunity for us to build new rigs and upgrade rigs, so it's – yes I'd say our top priority for 2010 is to see the market opportunities and we do have the financial flexibility now to do that on a pretty large scale.
John Tasdemir - Canaccord Adams: So, I guess my next question, so I think – from your – couple of other guys are out building some rigs and have pretty big CapEx programs that they were just been announced. But I guess my question is, how many rigs like if there was a pick-up in the demand for rigs, some people kind of maybe building in front of it but how many rigs you think you could see building in – or starting to build in 2010? If the market is right, I mean, is it a 10 rig numbers, is it a 15 rig number or is that – what’s the scope of – what your capacity is?
Kevin Neveu: George, it’s Kevin. So right now we could probably produce our first rig by as early as May. We probably produce our second rig probably about a month to two months behind that. I think that we could probably deliver, maybe one or two more before the year is out, but into 2011 we could be back up to something like four to six a quarter provided the demand is there. We have our project team, we have got a manufacturing support, and most of our operations right now were designed and has sustained through the downturn. So we feel pretty good about the early response, the rapid upturn in the market. We think we can build rigs as quickly as our customers will take them.
John Tasdemir - Canaccord Adams: Okay, well that, that gives us a scope of through CapEx and…?
Kevin Neveu: Well, we also believe we have got the financial capacity to do that job. We don’t think we ruined it financially either.
John Tasdemir - Canaccord Adams: Yes, now that’s the spirit. The other question I had, as of the press release you stated there are four rigs in the US that are getting paid but not working. Are those still not working and that’s a bit surprise to me that they are not working in line?
Kevin Neveu: Yes, John. Right today we are at four, that’s down from eight at the end of the year, but those are still not working. Couple of those expired this year and a couple is going out to next year. So, hopefully if things continue to improve they will go back to work here.
John Tasdemir - Canaccord Adams: Are those particular four – it sounds like they got to be new rigs. So again, my question is – I guess I am assuming those four are new rigs?
Kevin Neveu: Actually they are not. Their existing equipment were in the US --
John Tasdemir - Canaccord Adams: Stepping that contracts a little.
Kevin Neveu: That’s right.
John Tasdemir - Canaccord Adams: That’s it, okay. That explains. Then I guess thirdly, last question, then I’ll let to someone else. You said 75 rigs that are been on contract on average the first quarter on term. Can you remind me what that number was in the fourth quarter, and I have a follow-up to that?
Doug Strong: Yeah, John, we were 81 in the fourth quarter of 2009 on average under term contract.
John Tasdemir - Canaccord Adams: How about the fourth quarter, do you know that?
Doug Strong: I am sorry.
John Tasdemir - Canaccord Adams: 81 for the full 2009, is that what you said?
Doug Strong: No, 81 for the fourth quarter of 2009.
John Tasdemir - Canaccord Adams: Right.
Doug Strong: 94 for the total year 2009.
John Tasdemir - Canaccord Adams: Okay, and then you said 66 for the full and that 66 number hasn’t really changed the whole lot since your last release. My question is, are you – is that number – have you actually gone out in terms of more contracts and drop some contracts or is that number just not changed, no more…?
Doug Strong: No, we were 63 when we reported in the third quarter for 2010, and now we’re at 66 so it’s up three rigs. Those are all existing equipment and so, yes there is some opportunities out there.
John Tasdemir - Canaccord Adams: Okay. Thanks guys.
Kevin Neveu: Thanks, John.
Operator: Thank you. The next question is from Kevin Lo from FirstEnergy. Please go ahead.
Kevin Lo – FirstEnergy Capital: Hi, guys. Just wanted to ask with respect to your US rates, there is a more trough obviously from Q3 Q4, and I think Doug had kind of alluded to ask you know that being our revenue mix. What do you see going into 2010, I mean, how should we look at that, do you think that the rates would actually trend up because the demand is higher and pricing sounds like it's going higher or do you think it to be flat because more the non, all the rigs are going to be working?
Doug Strong: Hi, Kevin, it's Doug, I’ll ask David to join in. One thing to factor if you look at Q4 rates that keeps the decline in our US turnkey business. Turnkey rates were obviously significantly higher so we had left that type of work in the quarter that would have explained a good part of the decrease.
David Wehlmann: Yeah, and Kevin, the other part I would suggest is that it has to do with term contracts. We have about – let's see, about 11 rigs less working on term contract in the fourth quarter, been in the third in the US. And so those rigs continued to work but they went to work at lower rates as they rolled off contract. So the combination of turnkey where we average one rig working as Doug mentioned in the term contract roll-off is the main factor in the decrease there in the US. I would like to point out that our turnkey business is picking up in the first quarter, we averaged one in the fourth quarter, we are working three rigs today, and it looks like it’s going to move a little higher as we move through the quarter.
Kevin Lo – FirstEnergy Capital: Okay. And as we progress through 2010, I mean what you – what's the expectation for yourselves in terms of the day rates going forward in the US?
Kevin Neveu: We don’t guide too much forward on day rates in the US, but like I was saying earlier, we are seeing sort of regional leverage in certain areas, Kevin, so if the demand momentum continuous, we’re hopeful.
Kevin Lo – FirstEnergy Capital: Yeah.
Kevin Neveu:
 – :
Kevin Lo – FirstEnergy Capital: No, no.
David Wehlmann: But I mean, Kevin, we are still going to have a runoff of term contracts during the year. I mean we end the year at 23 and we are at 37 today approximately. So you’re still going to have that runoff offset by increased activity and small day rate increases on those rigs. So, the reason it hasn’t, we don’t really know that answer either at this point.
Kevin Lo – FirstEnergy Capital:
 :
Kevin Neveu: Kevin, if you consider Q1 factor in the additional activity that we will get seasonally, and a lot of the new work that obviously gets put in play is at current market rates. So that will have a downward influence on the average. So in here again we don’t put our guidance on pure day rates but I'd give that serious weighting.
Kevin Lo – FirstEnergy Capital: Okay. So the one we presume then the current rate then is the low 16,500 or is that within that range as well?
Kevin Neveu: You know here again, the rates will be supported by ancillary equipment to do with winterization and higher activity covering fixed cost. In terms whether it's higher or lower, I think you’ve seen our comments around, we stabilized pricing. It will be pure mix between term contracts and new work.
Kevin Lo – FirstEnergy Capital: Okay, last thing is, it sounds like you guys are all too enthusiastic on new builds right now. Where are you guys seeing the opportunities, is it in the gas side or is it in the oil side, presumably it's mostly gas but are you guys seeing any opportunities in oil for new builds?
Gene Stahl: Yes, Kevin, its Gene here. In all of the unconventional, it's really both unconventional gas and oil, and both in Canada and the US. So opportunities in – with Skata [ph] area, which is the cage Bakken in the Panama [ph] area, which is at Drayton Valley area in Canada and then Marcellus as well.
Kevin Lo – FirstEnergy Capital: That’s great. Thanks Gene, and thanks guys for the answers.
Kevin Neveu: Thanks Kevin.
Operator: Thank you. The next question is from Chad Friess from UBS. Please go ahead.
Chad Friess - UBS: Hi, gentlemen. Just a quick one for you. How are you looking at the international market right now, are you seeing any opportunities to move rigs out there?
Kevin Neveu: Hey Chad, thanks for the question, because I forgot to include that in my prepared notes. You know, frankly first comment I’ll make, I am just going with the fact that we only have two rigs running in Mexico by the end of 2009. We’d like to see this is a little stronger internationally. Now that said, we have got a pretty good focus on our international operations right now. We have got people up there, have got a good team right now pursuing. My short answer is several irons in the fire and it’s still going to be a slow growth process, when we are talking quarters, not weeks or months.
Chad Friess - UBS: Thank you.
Kevin Neveu: Thanks Chad.
Operator: Thank you. The next question is from Dana Benner from Thomas Weisel Partners. Please go ahead.
Dana Benner – Thomas Weisel Partners: Good morning, guys.
Doug Strong: Good morning, Dana.
Dana Benner – Thomas Weisel Partners: I wanted to come back to Kevin’s question on day rates, and I guess also just maybe pickup where you left off in the press release, which is you talked about a modest day rate increase in recent spot market activity. So I guess my question is, can you give us a sense for which particular area that this may apply to and given that you are referencing the spot market in your comment, are we talking $500 a day in terms of a base spot market increase or how would we quantify that?
Doug Strong: Well, obviously we are getting, there is some really competitive data that I don’t want to be too transparent on, but probably that sort of categorized it as, I mentioned two or three rigs being modest. So we were thinking there, on a well to well basis, a $100, $200, $300 a day. Maybe $500 depending on the geography, and that’ll be big with the geography. With the Tier II, Tier I rigs, increase to a 1000, 1250, 1500, 2000, and in some case 2500 or 3000 are what we are achieving. We’re a little surprised, it's going to be the areas where we tell the supply is like in the Marcellus, that’s proving to be quite good for us. We’re doing very well right now in the Bakken on the US side. And generally speaking, on the commercial plays right now where those high spec rigs are in very tight supply. As I think, as you listen to these conference calls you’ll hear probably across sector, or the sector that the Tier I premium performance rigs are pretty much fully utilized.
Dana Benner – Thomas Weisel Partners: Right. And thank you for that. Secondly, your recontracting strategy, obviously not an ideal form for you to discuss how you re-contract your fleet but I guess are there – is there some color you can give us on your strategy for whether you sign up a rig to lower rates than what it may have been working on versus maybe play the market a little bit and see if those trends were covered, how do you post that in a year like ’10?
Kevin Neveu:
 :
Dana Benner – Thomas Weisel Partners: Right. I guess looking at the US right now, can you give us a sense for the relative uptake in or uptake in utilization between what would have been the prior Precision drilling rigs and those would be narrow rigs for sure versus the acquired Grey Wolf rigs, just to give us a sense for whether those Grey Wolf rigs are being taken up at the same rates as the newer – older – that the newer rigs that were built from the prior Precision Drilling?
Kevin Neveu: What I would tell you is that our Tier III rigs are at about 120% utilization. Our Tier II rigs are 60%, our Tier I rigs are fully utilized and not to engage you. We’re simply not – we are not classifying rigs by their historic background anywhere.
Dana Benner – Thomas Weisel Partners: Let me ask you this, are you happy with the uptick and utilization of the Grey Wolf fleet, as you sit back now with the years work of study and of date are you happy with the uptick in utilization?
Kevin Neveu: The real simple answer is, yes I am, but beyond that I am really happy with the way the company is shaping up post the integration. And it's not just the fact that we’ve got some good assets but frankly our growth in the Marcellus, our growth in the (inaudible), our growth in the Haynesville, our growth in the Bakken are all due to the combination of some excellent relationships to help customers and Precision's asset, and in other cases some relationships that Precision had is a great deal of asset. It's not just an asset play for us.
Dana Benner – Thomas Weisel Partners: All right. Okay. And then just one final question, I guess no new news on distributions as we’re still suspended but maybe, is there a way for The Street to think about the dividend policy once you convert something that you would look to instantly put in place, or do you work your way through '010 and do further good work on the balance sheet and then look at it, how would you give us color on that?
Kevin Neveu:
 :
Dana Benner – Thomas Weisel Partners: It’s a great answer. Thank you.
Kevin Neveu: Thank you
Operator: Thank you. The next question is from Roger Serin from TD Securities. Please go ahead.
Roger Serin - TD Securities: Good morning guys. All of my questions but one have been answered, could you give us a breakdown, you talk about your Tier I, Tier II and Tier III rigs, could you give us a breakdown as to what component of your Tier I rigs are in the Canada versus US and likewise Tier II and Tier III?
David Wehlmann: Yes, I can give you that Roger, it's David. And this is today before upgrades that we plan on doing this year, we have 61 Tier I rigs in Canada, 48 in the United States for a total of a 109. Tier II we have 72 in Canada, 60 in the United States, three internationally for 135. And Tier III we have 70 in Canada, 38 in the US for a total of 108.
Roger Serin - TD Securities: I have been expecting that question.
David Wehlmann: I get asked that question pretty often.
Roger Serin - TD Securities: Thanks very much, that’s all I have.
David Wehlmann: Thank you Roger.
Operator: Thank you. The next question is from Roy Mark [ph] from GI Capital [ph]. Please go ahead.
Roy Mark – GI Capital: Hi, good morning, gentlemen.
Kevin Neveu: Hi, Roy.
Roy Mark – GI Capital: Hi. Just one question, everything has been answered. What proportion of rigs which have the contracts coming due over the course of 2010, which you consider to be Tier I versus Tier II. I assume there is no Tier III rigs that was becoming due but?
Kevin Neveu: Good question. This is a very good question and actually we don’t have that answer. What I can tell is that none of the new builds that we have, lot of which has come due in 2010. Those all pushed out into 2011.
Roy Mark – GI Capital: Okay. And I mean, maybe help me with the proportion, just a ballpark. You are going from 77 to, it looks like, if I do just backwards math, somewhere in the 50s by the back half of the year, maybe even down to the 40s. So, you are talking about somewhere in the 20 number of rigs that’s coming due over the – between Q1 to Q4, care to just split it in terms of percentage wise?
David Wehlmann: This is David. You are right, we go from 75 rigs working on term companywide in the first quarter down to 53 in the fourth quarter, so that’s a drop of 22 rigs. As far as what’s coming due, I’m going to speculate just here a little bit, but in the US the rigs that are coming off contract are not the new builds, as Kevin mentioned. Some of those are Tier I rigs, some of them are Tier II and there is a few Tier III rigs in that mix as well that were signed during the peak of the cycle. Let’s you and I talk offline, and maybe I can help you little more, I just don’t have that information with me here today.
Roy Mark – GI Capital: Okay. Thank you.
David Wehlmann: Thanks, Roy.
Operator: Thank you. The next question is from Brian Purdy from National Bank Financials. Please go ahead.
Brian Purdy – National Bank Financials: Hi guys. I realized you probably don’t want to be too specific, but I was just maybe wondering if you could generalize your average for the rigs that you have sort of coming off-contract now and the prices you see them sort of going back to work out or staying at workout. What’s the delta there, is it a few thousand dollars a day or can you quantify it at all?
Doug Strong: Brian, actually we are not quantifying that number right now.
Brian Purdy – National Bank Financials: Okay.
Doug Strong: I mean, just something we do look at internally, but both ways you guys try to model it, I’d – from what you’re hearing with the marketplace.
Brian Purdy – National Bank Financials: Okay. In terms of your Canadian customers, obviously the recounts picked up a lot, are you getting any indications about how activity will be either through breakup or after breakup?
Gene Stahl: Yeah, it's Gene here. And the thing we look at it just the shift in the mix from gas to oil, and we look at the list of price of oil staying strong. Our view is that when bends come off and the grounds dries up, we can get back after any of our oil opportunities. General views as that to be typical breakup and working closely with all of our customers to try and service their needs in the second quarter.
Brian Purdy – National Bank Financials: Okay. Now, I was going to ask a question on breakups, so you kind of led me into it. When you say typical breakup, obviously '09 breakup was not a typical, so it sounds like you’re expecting a fairly decent improvement over '09 breakup?
David Wehlmann: Yeah, that’s going to be function of weather.
Brian Purdy – National Bank Financials: Okay.
David Wehlmann: And I’m not going to predict any weather yet.
Brian Purdy – National Bank Financials: Okay. Couple of others here, I want to just ask if you had any progress with the directional drilling product and service that you guys were providing, and obviously more the markets moving in that direction, I am just wondering if you had much traction with your service.
Kevin Neveu: Right now we are having some traction. We did close a small acquisition in the fourth quarter to buy some assets to help with our cost basis. And we’re just watching this product as it grows right now. We think we’re well positioned, but we’re still running handful of jobs.
Brian Purdy – National Bank Financials: Okay, okay. In terms of your costs trends, DC costs coming up for you at all, you are heading forward, do you think things are pretty stable there at the moment?
Kevin Neveu: Good question. We think that they are pretty stable at the moment right now. And nothing on the horizon had any considerable costs particularly.
Brian Purdy – National Bank Financials: Okay. And then finally, I wanted to ask about the goodwill that you guys incurred with the great Grey Wolf acquisition, it sounded with your press release that you put out maybe a month or two ago, that you might look at writing some of it off but I didn’t see anything here, is that something you are still reviewing with your auditors and we might see more with the release in the annual report or is it something you’ve decided that you don’t need to write-off at the moment?
Doug Strong: Brian, we do not have to write-off at the end of fiscal 2009, that's been determined. We will continue to look at the fair market value of Precision based on unit value and the underlying recurring value of all of our businesses, not just our US operation but goodwill it goes back on the Canadian side as well. But there is no impairment at this point.
Brian Purdy – National Bank Financials: Great. Thanks very much.
Kevin Neveu: Thank you, Brian.
Operator:
 :
 :
Jeff Fetterly – CIBC World Markets: Good morning, guys.
Kevin Neveu: Good morning, Jeff.
Jeff Fetterly – CIBC World Markets:
 :
Doug Strong:
 :
Jeff Fetterly – CIBC World Markets: But can you give us directionally which would have been the more meaningful of the factors?
Kevin Neveu:
 :
Doug Strong: Yes, that's exactly what David mentioned, we had one rig in the quarter running on turnkey. That's increased significantly in the first quarter of 2010, so that was significant influence on the trend. And as you obviously seen in our average rig count, we’ve picked up significant amount of activity, some of which came of the idle but contracted rigs, but lot of new rigs coming to work at new market rates. So that clearly has an impact on the lower average as well.
David Wehlmann: Yes, Jeff, in the release there is data in there on the amount of idle but contracted revenue, turnkey revenue. You can work through those numbers then and get a pretty good idea of where the decrease comes from.
Jeff Fetterly – CIBC World Markets: Okay, great. The questions earlier on the new build side, you talked about capacity from a logistics perspective. Financially how much are you comfortable committing to new rigs, whether it’d be in 2010 or 2011?
David Wehlmann: Jeff, a great question. I talked about having capacity both logistically, but also I said we have financial capacity to handle the new builds. Doug alluded earlier, commented earlier that liquidity in the Q4 was about $400 million between revolver, our credit lines, and our cash on hand. If you just think of that in terms of the business and if the business were to trend upwards sharply, you might use up a 100 million, 150 million on working capital, that may leave a surplus of about 200 million, 250 million that we could apply to new builds if the economics are there. But with our leverage on manufacturing cost and just be thinking about super single mechanical for heavy oil in that $7.5 million range and maybe big heavy-duty triple for the Haynesville in the $18 million to $20 million range, that gives us a lot of capacity to build rigs, financial capacity.
Jeff Fetterly – CIBC World Markets: Currency wise, where does the domestic opportunities rank relatively to international opportunities?
David Wehlmann: I'm sorry what the first part of the question?
Jeff Fetterly – CIBC World Markets: In terms of your growth priority where do you rank domestic opportunities, call it North America relative to international?
David Wehlmann: We actually don’t look at it that way, we just look at each opportunity and the possible return. So, whether it's existing rig or new build or modification or the international opportunity, if – is the weight, effectively weighed by the return to the company.
Jeff Fetterly – CIBC World Markets: Is it safe to interpret your tone as being seeing greater opportunities in the near-term domestically versus internationally?
David Wehlmann: Well, if the velocity of the domestic opportunities is much faster, I mean, certainly we can quote a rig in Canada for indeed and have it deployed within five days. In the US it may little augment, make it ten days. Internationally, quote to deployment could be nine months even for a fast one. So, no question that the velocity of the enquiries in North America being that we’re operating faster. It doesn’t mean that we have more or less priority.
Jeff Fetterly – CIBC World Markets: Okay. Doug, couple of quick questions. Is there any carryover on the CapEx side, and how should we be thinking about taxability post-conversion?
Doug Strong: Great question, Jeff. First, carryover its minimal, less than $5 million on the capital expenditure side, and as far as income tax, effective rates, view just as a traditional corporate structure with very balanced operations between the United States and Canada. So you can take a blend of those corporate statutory rates and that will be very indicative.
Jeff Fetterly – CIBC World Markets: Okay. Thank you.
Kevin Neveu: Thanks, Jeff.
Operator: Thank you, the next question is from Cory Wren [ph] from Peeco & Company [ph]. Please go ahead.
Cory Wren – Peeco & Company: Yes. All my questions have been answered, but I have one question about LNG imports, what is the long-term impact on rig rates that you see from these LNG imports?
Kevin Neveu: It’s a tough question to answer in isolation. It’s a gas macro question, and LNG can – suppose the miracle in pricing is that, that are preferential differential to European markets, all the things like that. Certainly we have storage capacity here with other markets on that storage capacity. My personal view is that LNG is not a low cost gas molecule. But, in fact, North American gas is a low cost gas molecule. So, my view is North American gas today is very competitive relative to natural gas full cycle.
Cory Wren – Peeco & Company: Great. Thank you.
Operator: Thank you. The next question is from Todd Garman from Peters & Company. Please go ahead.
Todd Garman – Peters & Company: Good morning. Regarding the supply chain rollout in the US, can you give us a sense for how that might improve US margins relative to Canadian margins over the coming months?
Kevin Neveu: Todd, generally speaking we’re supplying right now all of our rigs in the US with our US supply chain. And we’re hitting about 80% of the requirements. That’s pretty good. In Canada, we’re 100 to 100. So, we are getting we’re almost in with the full limitation across the US. That hits the operating cost of the rig at daily operating expense and the savings on there would be in the order of about 15% on those daily operating expenses. Not to mention CapEx one of the major components of the daily operating expense, so in the order of $700 a day.
Todd Garman – Peters & Company: Yeah. And I gather that you are 80% there. You are most the way there then, is that fair to say?
Kevin Neveu: I think we are, but I think there is a second step up here to come for us, and that’s sort of when we start getting full precedent leverage across the supply chain of North America.
Todd Garman – Peters & Company: Okay.
Kevin Neveu: Fair to say, we are not there yet but we will get to the people they are working on, we expect to get some good results over the coming weeks actually.
Todd Garman – Peters & Company: Okay. Okay, and then Kevin you mentioned that you are at 10 rigs in the north of (inaudible) going soon to be at 14. Are those 14 or the incremental four rigs are those included in the 15 rigs that you are going to spend the $25 million above create capital on to get them from Tier 2 to Tier 1 or those incremental rigs that will be signed to contract or you are going to transfer rigs?
Kevin Neveu: Those are Q2 rigs that we’re transferring up. It already keeping drilling those wells, so no CapEx required.
Todd Garman – Peters & Company: Okay. Okay, that’s all I have. Thank you.
Kevin Neveu: Great, Todd. Thank you.
Operator: Thank you. The next question is from Teresa Fox from Stone Harbor. Please go ahead.
Teresa Fox – Stone Harbor: Thank you. You did a very good job of de-leveraging and working through this tough operational environment, so I was curious to see that you receive covenants relief and it seems like you are well within your covenants, so I was wondering if you could provide some clarity as to why you pursued to do that.
Kevin Neveu: We pursued relief on the simple principal that we want to be optimistic going into 2010 that we are also driven to have flexibility, and so as you heard the comments today that's not necessarily a downside reflection. It's indicative of how our cycle works, how trailing EBITDAs look, and how in a rebound, we’ve got – we have significant opportunities to upgrade rigs and potentially just secure very attractive term economics on new build opportunities.
Teresa Fox – Stone Harbor: Okay. But your covenants do not restrict your CapEx is that correct?
Kevin Neveu: That's correct. They don’t.
Teresa Fox – Stone Harbor: Okay. All right. Thank you.
Operator:
(:
Jeff Mochoruk – Cormark Securities: Good morning, gentlemen. Just wondering if you give us little bit of break down in terms of what your oil and gas drilling breakdown in the both Canada and US and maybe how you see that going off for the rest of the year?
Doug Strong: Very good question Jeff, I am going to head you off to David here, who has been -- we have been argue with these numbers couple of days.
David Wehlmann: In the fourth quarter here Jeff, in Canada if we have 60% of the well drilled for oil and 40% for gas, and in the US it was 70% gas and 30% oil. Going forward I’ll turn it over to Gene for, after breakup in Canada you said there is a oil drilling that probably will come forward.
Jeff Mochoruk – Cormark Securities: Just give me a function of where customers have confidence in commodity prices.
Gene Stahl: Yes. Jeff, the other sort of emerging little trend we're seeing right now, some of these shale wells have high liquids production and also very profitable. So it’s a bit of mix, a bit of a blend between gas and liquids. And even if it’s becoming quite popular for that.
Jeff Mochoruk – Cormark Securities: And now just kind of the Q4 numbers David, that you reported, have you seen shift so far in Q1 in to more of a oil weighted balance both in US or Canada, or is it stays same to the Q4 level?
David Wehlmann: No, I don’t think so. I think today they would probably about the same, maybe with the uptick in Canada it may be a little bit more towards the gas side as we move through here. And the industry in Canada right now is about 50/50 oil and gas, but I don’t see any dramatic changes in those numbers.
Jeff Mochoruk – Cormark Securities: Okay. And lastly, can you give us kind of breakdown of how or how many of your rigs are drilling direct so much, I saw that in the press release or not?
David Wehlmann: You look up at the end and you see a little place
Jeff Mochoruk – Cormark Securities: I didn’t see in the press release, if you could give a sense of how many of your rigs in Q4 were drilling direct or horizontally during the quarter?
David Wehlmann: Yes, I actually have that too. In both in Canada and USS about 80% of our rigs were drilling directionally and horizontally during the quarter versus an industry averaging around 60%. So again, Precision is obvious and it’s seeing with our crews in our rigs there. So about 80% of the rigs -- the well we drilled in the fourth quarter were directional, horizontal
Jeff Mochoruk – Cormark Securities: Okay, thanks.
David Wehlmann: Thanks Jeff.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Wehlmann.
David Wehlmann: I like to just to thank everyone for begin with us today and go and have a great day.